Operator: Good morning, and welcome to the EastGroup Properties Second Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Marshall Loeb, President and CEO. Please go ahead.
Marshall Loeb: Good morning, and thanks for calling in for our second quarter 2021 conference call. As always, we appreciate your interest. Brent Wood, our CFO is also participating on the call. And since we'll make forward-looking statements, we ask that you listen to the following disclaimer.
Keena Frazier: Please note, that our conference call today, will contain financial measures such as PNOI and FFO that are non-GAAP measures as defined in Regulation G. Please refer to our most recent financial supplement and to our earnings press release, both available on the Investor page of our website, and to our periodic reports furnished or filed with the SEC for definitions and further information regarding our use of these non-GAAP financial measures and a reconciliation of them to our GAAP results. Please also note that some statements during this call are forward-looking statements, as defined in and within the safe harbors, under the Securities Act of 1933, the Securities Exchange Act of 1934 and the Private Securities Litigation Reform Act of 1995. Forward-looking statements in the earnings press release, along with our remarks, are made as of today and we undertake no duty to update them, whether as a result of new information, future or actual events or otherwise. Such statements involve known and unknown risks, uncertainties and other factors, including those directly and indirectly related to the outbreak of the ongoing coronavirus pandemic that may cause actual results to differ materially. We refer to certain of these risks in our SEC filings.
Marshall Loeb: Good morning and thank you for your time. We hope everyone is enjoying their summer. I'll start by thanking our team for a great quarter. They continue performing at a high level and reaping the rewards of a very positive environment. Our second quarter results were strong and demonstrate the resiliency of our portfolio and of the industrial market. Some of the results the team produced include, funds from operations, coming in above guidance, up 10.5% compared to second quarter last year and $0.03 ahead of our guidance midpoint. This marks 33 consecutive quarters of higher FFO per share, as compared to the prior year quarter, truly a long-term trend. Our second quarter occupancy averaged 96.8%, up 20 basis points from second quarter 2020. And at quarter end, we're ahead of projections at 98.3% leased and 96.8% occupied. Our occupancy is benefiting from a healthy market, with accelerating e-commerce and last-mile delivery trends. Quarterly re-leasing spreads were among the best in our history at 31.2% GAAP and 16.2% cash. And year-to-date, those results are 28% GAAP and 16% cash. Finally, cash same-store NOI rose by 5.6% for the quarter and 5.8% year-to-date. In summary, I'm proud of our team's results, putting up one of the best quarters in our history. Today, we're responding to the strength in the market and demand for industrial product, both by users and investors by focusing on value creation via development and value-add investments. I'm grateful, we ended the quarter at 98.3% leased, matching our highest quarter on record. To demonstrate the market strength, our last three quarters were the highest three quarterly rates in the company's history. Looking at Houston, we're 96.5% leased, with it representing 12.3% of rents, down 150 basis points from a year ago and is projected to continue shrinking. Brent will speak to our budget assumptions, but I'm pleased that we finished the quarter at $1.47 per share in FFO and are raising our 2021 forecast by $0.09 to $5.88 per share. Helping us achieve these results is thankfully having the most diversified rent roll in our sector, with our top 10 tenants only accounting for 7.9% of rents. As we've stated before, our development starts are pulled by market demand. Based on the market strength we're seeing today, we're raising our forecasted starts to $275 million for 2021. This represents a record annual level of starts for the company. And to position us following the pandemic, we've acquired several new sites with more in our pipeline along with value-add and direct investments. More details to follow as we close on each of these opportunities. And Brent will now review a variety of financial topics, including our 2021 guidance.
Brent Wood: Good morning, our second quarter results reflect the terrific execution of our team, strong overall performance of our portfolio, and the continued success of our time-tested strategy. FFO per share for the second quarter exceeded our guidance range at $1.47 per share and compared to second quarter 2020 of $1.33, represented an increase of 10.5%. The outperformance continues to be driven by our operating portfolio performing better than anticipated, particularly the quick re-leasing of vacated space during the quarter. From a capital perspective, during the second quarter we issued $60 million of equity at an average price over $162 per share, and we issued and sold $125 million of senior unsecured notes, with a fixed interest rate of 2.74% in a 10-year term. In June, we amended and restated our unsecured credit facilities, which now mature July 2025. The capacity was increased from $395 million to $475 million, while the interest rate spread was reduced to 22.5 basis points, and our ongoing efforts to bolster our ESG efforts we incorporated a sustainability-linked metric into the renewal. That activity combined with our already strong and conservative balance sheet has kept us in a position of financial strength and flexibility. Our debt-to-total market capitalization was 17%, debt-to-EBITDA ratio at 4.9 times, and our interest and fixed charge coverage ratio increased to over 8 times. Our rent collections have been equally strong. Bad debt for the first half of the year is a net positive $90,000, because of tenants whose balance was previously reserved that brought current exceeding new tenant reserves. Looking forward FFO guidance for the third quarter of 2021 is estimated to be in the range of $1.46 to $1.50 per share and $5.83 to $5.93 for the year, a $0.09 per share increase over our prior guidance. The 2021 FFO per share midpoint represents a 9.3% increase over 2020. Among the notable assumption changes that comprise our revised 2021 guidance, include: increasing the cash same-property midpoint by 18% to 5.2%, increasing projected development starts by over 30% to $275 million and increasing equity issuance from $140 million to $185 million. In summary, we were very pleased with our second quarter results. We will continue to rely on our financial strength, the experience of our team, and the quality and location of our portfolio, to carry our momentum through the year. Now, Marshall will make some final comments.
Marshall Loeb: Thanks, Brent. In closing, I'm excited about our first half of the year. We're ahead of our forecast and are carrying that momentum into the back half of the year. Our company, our team, and our strategy are working well as evidenced by our quarterly statistics, and it's the future that makes me the most excited for EastGroup. Our strategy has worked the past few years, and we're seeing an acceleration, and a number of positive trends for our properties, and within our markets. Meanwhile, our bread and butter traditional tenants remain and will continue needing last-mile distribution space in fast-growing Sunbelt markets. These along with the mix of our team, our operating strategy and our market has us optimistic about the future. And we'll now open up the call for any questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Daniel Santos of Piper Sandler. Please go ahead.
Daniel Santos: Hey, guys. Thanks for taking my questions, and congratulations on a strong quarter. So my first one is on development yields, last quarter you spoke about potentially seeing some development yield pressure. But from your results it seems like you've been able to maintain fairly consistent yields. So I guess, I would ask for some commentary there.
Marshall Loeb: Sure. Good morning. And thanks Dan. You're right. I guess it shows my inability to predict, perhaps. But I'll compliment the team. Construction prices have continued to rise and actually deliveries are continuing to get elongated. So I still expect more downward pressure on our development yields to-date. The offset the market has been so positive, as we've been able to offset that with rent growth in the markets and maintain those seven yields. And probably especially if we look back at last year, the other kind of gratifying part of that is cap rates have come down. They've been low in the major markets within our footprint say the Los Angeles, Dallas, Atlanta, but they've continued to come down maybe another 50 to 70 basis points really across almost all of our significant markets. So our spread to develop yields to market value is probably closer to 300 basis points. At a seven -- probably almost everywhere we're developing is probably close to four and in some cases below four today in a number of cases. So I still think they'll come down. But thankfully they've got room to come down. And perhaps, there'll still be pretty profitable opportunity for EastGroup.
Daniel Santos: Perfect. That's super helpful. My next question is more of a big picture question. Employers across the country have all lamented about, the labor shortage and the number of unfilled positions. But it seems like despite that tenants are still growing and taking more space. So I guess my question is, are you seeing any sort of on-the-ground impact from the labor shortage as far as taking space? Or are tenants really commenting that their expansion is hindered by the labor shortage?
Marshall Loeb: Good question. And typically the larger the tenant, the more it makes sense. The larger the labor challenges for them, or the more they think about that. I've had brokers say to me in the past, the kind of main factors are always the rent, the tenant improvement allowance the lease term. And now where do you draw your labor pool becomes part of that a bigger-and-bigger part of that equation. For us, we probably see it more and it's not given the leasing velocity that we've seen this year that has been better than we had anticipated. And feels like it's certainly continuing into the back half of the year, probably more in construction costs of getting the trades and we are seeing a rise in construction pricing and things like that. It's probably we are at -- we're getting it done but it's probably where we're feeling it the most. But it does feel like there's inflation out there. And labor will be a factor in that. But to-date it hasn't affected our leasing, you're right.
Daniel Santos: Got it. That's it for me. Thank you.
Marshall Loeb: Thanks, Dan.
Brent Wood: Thanks, Dan.
Operator: The next question is from Emmanuel Korchman of Citi. Please go ahead.
Chris McCurry: Hey this is Chris McCurry on with Manny. Just a quick question on development starts. So with the increase in development starts guidance, can you just provide some commentary on funding sources, and the balance between common stock as well as dispositions and how this may impact the acquisition pipeline?
Brent Wood: Yeah. Hi. Good morning. This is Brent. Yeah, the good news is, we have -- we view great access to capital both via issuing equity and/or the debt markets. As we disclosed this quarter, we just renewed our credit facility, increasing our total capacity from $395 million to $475 million and really pleased to have decreased our spread our rate on that by 22.5 basis points which is going to be significant over the course of each year. So from a capital standpoint, we're not constrained. The guys as they can unearth opportunities which are more and more challenging, but we have that ability. And really our dispositions are more of just good pruning from being good steward of operating our portfolio, and just kind of pruning from the bottom, but not so much as a source of capital needs. We just don't need capital in that manner. Again, we view our stock price relative to whatever you want to compute NAV has is attractive. And again debt market is attractive. We're pretty much at historical lows, in terms of our debt-to-EBITDA now being 4.9, and debt to total market cap in that 16% to 17% range. So very, very good shape for capital sources, for sure.
Chris McCurry: Got it. And just a quick follow-up on, can you comment on some of the markets you are focused on expanding in right now? And are some of your top-performing markets this quarter a good read-through on where you'll choose to grow?
Marshall Loeb: Good question Chris. This is Marshall. Certainly some although to us I kind of think of it more -- we think really longer term of a portfolio allocation. To me, it's -- we've been working the past few years. We like Houston, but kind of reducing that Houston exposure. So, it's gratifying to see as we were looking back a 50 basis point drop from quarter-to-quarter down in the low 12s and that will continue dropping, but we'll still stay active in the Houston market. We're under allocated out west when you look at the California markets, Denver, Las Vegas, some of those, love to grow there. But they're really the ones we're under-allocated are also the most -- it feels like the most competitive markets. We like Miami continue to develop down there. Austin, Texas and Dallas have been really hot markets. And we certainly have an allocation there but we'd love to keep growing in those. And I kind of view it as Brent and I if we can manage the portfolio allocation and sometimes that comes from -- it's a good time to be a seller of assets so that in each of the teams in the field have that runway of when they find the right opportunity to go create value and we can execute on that. And if it requires us to sell an older asset in the market, that's a good problem to have because we -- thankfully, there's still 1,031 opportunities out there that we can recycle that capital and put it back in the development pipeline. So, I hope that's helpful. It's really more of a long-term like you think of your 401(k) allocation or something like that.
Chris McCurry: Got it. Thank you.
Marshall Loeb: Sure.
Operator: The next question is from Elvis Rodriguez of Bank of America. Please go ahead.
Elvis Rodriguez: Good morning guys and great quarter. Perhaps Marshall you can share an update on your Atlanta land acquisition? And I know you mentioned some potential opportunities to acquire more in the balance of the year. In particular, how much runway does that give you to develop in Atlanta? And then also what are the markets that you're currently looking into?
Marshall Loeb: Sure and I hope you're well. Atlanta and I was just there recently and I'll compliment John Coleman and our team there we are -- acquisition this quarter was really an add-on to a parcel on I-20 West that we had acquired at the end of the year that will hopefully, put to production later this year pending steel deliveries and timing of that. And then they've got a few sites tied up that we're working our way through zoning and permitting and kind of the pricing given the topography is a little more challenging at Atlanta I'd say than most of Texas for example or things like that. But we've got some good runway for growth in Atlanta and the other nice aspect of Atlanta is going back to the end of the year we had tied up three buildings on the value add that we had agreed to purchase when they were complete and we've been able -- the team has to execute all three of those are in the portfolio at 100% leased and blended yield on all three of those is probably a 6.8% 6.9%. So, taking the construction risk out the market cap rate on each of those is probably around to 4%. So, we love the value creation from there. Other markets where we're looking and it really kind of depends on where we've got land, but we've got various stages between -- a little bit of time left to close but Charlotte, we're running out of land thankfully at Steele Creek and have some land that's been publicly announced there that the airport authority is selling. Charlotte, Austin as I mentioned a market, we like we've got some land parcels there. Phoenix working on land Dallas -- kind of each of the markets it's harder and harder and I will say the number of developers the strength in the industrial market broadly is not a well-kept secret. So, the number of active developers in our market is up pretty materially over the last couple of years. So, it's harder and harder to find those good parcels. But we've got a fair amount several hundred acres kind of tied up and working our way through diligence on those. And hopefully we'll close as many of them as makes sense as we get to the end if we can get permitting and zoning and all the things like that they take time.
Elvis Rodriguez: Thanks Marshall for the update. And then perhaps you can maybe speak to the tenant retention in the quarter and how you look at that versus rent growth sort of like that push and pull of keeping a tenant and the revenue in the portfolio versus really pushing for that higher rent that you can probably expect from a new tenant?
Marshall Loeb: Sure. No, good question. And typically, we -- we've been keeping a well-performing tenant long-term is where you'd rather go. And thankfully almost every tenant, I'd say high 90% have their own tenant rep broker by the time they sit down with us. And so they're aware of the market and we'll push rents. Obviously, there were gap over 31%. So we've had lower tenant retention year-to-date, but we -- typically we retain about 70% of our tenants. Last year, we were closer to 80%. And probably two factors have driven our retention down year-to-date as we think about it, are one, as COVID hit last year, everybody understandably put their growth plans and what they were thinking on hold. And that helped us in the short term and that most tenants just stay put and didn't move. And I think now as the economy kind of stabilizes or people get comfortable operating in this environment, we are seeing tenants expand. That helped us lease. A number of our developments have been existing tenants that have taken on more space and we've moved them from building two in a park to building eight in a park for example and things like that. And then the other thing I'll complement the team on there's been a few of our -- of the 2020 rent deferral customers that they came and they struggled through it, but given how tight the market are is as it's not as much pushing rents is improving our credit quality. So we've vacated some pretty large tenants within our buildings up 190,000 foot Amazon lease that we signed in San Diego in first quarter was a tenant that had struggled over the years, another one in Southern California in the second quarter and we got strong re-leasing spreads in each of those cases, but it was also a good opportunity to move a tenant where maybe their business was struggling a little bit and put a better quality tenant. And you saw one it's in our top 10 tenants, but it's a 3PL and it replaced a tenant who had struggled a bit over the past couple of years. So that's -- if that helps. That's really how we think about it. A great time now to improve our credit quality of our tenants. I like how diversified our portfolio is with our top 10 under -- just under 8%. And then in the meantime push rents as best we can but probably not create vacancy because I think most of the tenants know where the market is certainly by the time we finish negotiations.
Elvis Rodriguez: Thank you.
Marshall Loeb: Sure.
Operator: The next question is from Tom Catherwood of BTIG. Please go ahead.
Tom Catherwood: Thank you, and good morning, everyone. Marshall, in your opening remarks, you mentioned continuing demand from e-commerce tenants and specifically last-mile delivery. We've -- it kind of feels like we've been talking about last-mile delivery in gateway cities for a while now. But with population growth in the Sunbelt, it seems like there's been more attention on swifter fulfillment. Where are your markets in terms of the build out of last-mile distribution facilities? And are you seeing any shifts in how your tenants are using your shallow base space for this?
Marshall Loeb: Yes. Yes and no. I guess we certainly see it -- we've -- part of the leasing volume this year, it seems to be more and more also 3PL kind of that freight fulfillment and really last-mile delivery. I do see tenants we've seen an increase in retail-oriented tenants taking space for delivery. And as the brokers explained it to us anything that speeds up delivery, whether it's a good or a service that's where the world is going right now. So in a lot of our cases, we also have the -- it can be the train air conditioning, Goodman any of those Baker, the large HVAC companies, the pool supply guys. So if you're in Atlanta or Dallas and you're I guess residential or commercial operator, this time of year if your HVAC goes out, you want that delivery person this service person there quickly. And then we do see it within e-commerce also as well as -- it's really what used to be acceptable demand was maybe three to four days, if you go back even further than that. And now it's Amazon Prime, Amazon Prime Now and we really anticipate -- Amazon has certainly been as we've all talked about a large consumer of space over the last call it 18 months and doesn't really feel like they're slowing down their program and we think the other retailers if our business cards were switched you've got to find ways to compete with Amazon on price and delivery. So I think that's where our portfolio fits well. And our pitch to a number of these retailers whether it's e-commerce, or delivery, or even as retail agreement curbside pickup, our buildings are efficient and close in and last mile and you're going to have to compete with Amazon Prime now. So it's moving in that direction and it really depends more on that retailer than it does market-by-market. Yes you're right. Certainly in Los Angeles and New York, but I don't think Dallas, Phoenix, Atlanta or Miami are very far behind. We certainly see it in Miami where our project is -- our park is pretty far east compared to the competition. And when you think in South Florida that basically means we're closer to the coast closer to where the high end residential is all along the Atlantic. 
Tom Catherwood: Got it. Appreciate that Marshall. And then final for me. You've picked up some additional value-add properties this quarter, kind of two parts. First, when you're doing underwriting of value-add versus stabilized, what's the kind of spread in terms of yield that you're typically underwriting on these deals? And then second, are there some markets that have more opportunities for value-add than others right now? Obviously, you've been active in Atlanta and Greenville so far. But kind of what are you seeing as far as trends in specific markets? 
Marshall Loeb: I guess, historically, you're looking back we would say we developed to a seven and maybe the market and now as I mentioned down to four, and then a value-add with maybe pencil out around mid-5s to 6. So you're getting maybe half is -- the spread is maybe half of what it is, but you don't carry the land go through the zoning the entitlement the construction risk everything like that, so the returns should be a little lower the teams executed well, and so we've had really strong returns almost the same as our development yields without that land carry or construction risk. The tricky part now, I think is the market the appetite is so great for industrial. What we've seen over the years we really moved to our value-add, because acquisitions lease products got so expensive. We said why don't we take on the leasing risk and we can do that and development, but I think the market is less and less afraid of vacancy. So we've seen the spreads continuing to come down on value adds. It really depends on those developer relationships of their -- they usually have a financial partner and the model works where we'll talk to them and say, we'll buy you out at certificate of occupancy, you'll get part of your promote with your financial partner and you can move down the street and go build the next building. So that's where it's worked, and it's typically where we've been developed a relationship with that particular developer and maybe do multiple transactions. And I do think where the market is more and more of those cases, we see them listing it with one of the national brokerage groups and that's where the pricing. But it's rather than we're buying at a six and the market's four, the market is paying 4.25 in the market cap rates. That spread has gotten awfully tight because of the fear of vacancy continues to go down with this much capital and only so many places for it to go to work.
Tom Catherwood: Understood. Thank you, Marshall.
Marshall Loeb: Yes. Sure. Thanks, Tom.
Operator: The next question is from Dave Rodgers of Baird. Please go ahead.
Unidentified Analyst: Hey, guys. It's Nick on for Dave. I just had a question on utilization. Store shelves continue to be somewhat empty and then warehouses are somewhat full just -- and import activities rising. I guess, what's the disconnect on getting products to the consumer in this market?
Marshall Loeb: I guess, if I'm answering it and Brent jumped in what we -- we've kind of used the phrase that demand feels like it's here today. And certainly, we've seen it with our leasing and our tenant growth and what's been a mess and it doesn't feel like it's going to get resolved anytime soon as you mentioned is getting product. There's still a backlog of ships at the ports of L.A. and Long Beach and with the Delta variant and things like that that the supply chains are just snarled and won't be resolved anytime soon. So it's seem to be purchasing what's available not what's your choice of appliances or whatever item it is, you seem to pick. And I think that whereas, we watch it and try to evaluate it and experience it too, it's putting stress on our development pipeline, because it takes longer for us to get this deal, which is usually -- historically made in China, but there's no capacity right now with the ships and the ports and things to get the steel to the U.S. and it's more expensive. But in the meantime, although it's taking us longer to build out our spaces, it's the same impact on all of our competition. So that's partially why our occupancy and percent leased have been so high and we think that's going to last for a few more quarters, absent some economic shutdown again, unless there's another big enough COVID spike that the government shuts down the economy.
Unidentified Analyst: Great. Thanks for that. And then I guess one question, just on development. You had that build-to-suit opportunity in San Diego last quarter. Just commentary on -- have any tenants approached you on build-to-suit opportunities on your land bank? Or what's your appetite for that?
Marshall Loeb: Yes, good catch or good note. Yes, we were happy about that and that we were planning a multi-building park and it worked for Amazon for a facility there. So we're under construction. Hopefully, we'll deliver it in first quarter of next year. And really we set our goal when we bought the land. We like the building design, although it's a building, rather than five or so, which we originally had planned for this site, but we are seeing more and more of that. The tenant sizes seem to be growing and we've got another one or two. You never know. I mean it's always competitive for those pre-lease opportunities. But if we can manage the construction risk, which we have by the time we give them their bids. But if worst case, we run out of land, which is what was our goal when we acquired it and now we're looking for other sites in San Diego. So we'll find that. But we had a bunch of land in Atlanta or in San Diego in fourth quarter and suddenly we're out. So now we're scrambling to find the next land parcel. But I hope we'll see a few more and more of those and where cap rates are, we think we're getting a great return with a long 12-plus year lease with Amazon on that side.
Unidentified Analyst: Great. Thanks, guys.
Marshall Loeb: Sure.
Operator: The next question is from Michael Carroll of RBC Capital Markets. Please go ahead.
Michael Carroll: Hey. Marshall, talk a little bit about the land acquisitions. And I think you mentioned this in your prepared remarks and a little bit through the Q&A, that you have a number of pending transactions for potential land sites. I think you're talking about that you need to get them entitled before you close on those deals. Maybe you could provide some color on what type of sites that you're looking at and the timing of those acquisitions and when could they close and how much development could they support?
Marshall Loeb: I'm trying to be working back through that. We do -- and I'll really speak, which, I don’t know, like our model. Everybody's got a little bit of a different model and Brent and I were both in the field, although, especially with me, it's been a minute. But where -- if you have Texas, for example, you're responsible for everything in Texas and that's existing portfolio, as well as finding opportunities. So we don't have a Chief Operating Officer. We don't have a Chief Investment Officer. So the sites may be saving a little bit of G&A. It's really up to those teams in the field to go find the opportunities. So it's -- typically you're looking at aerials on the computer, or in the car with brokers and just turn over a lot of stones and I'll complement the team, they keep finding ways to unearth parcels. Every once in a while it's a greenfield. Usually it's something in this market as many developers a number -- here's a stat that surprised me recently when I was in Dallas and was meeting with the CBRE team that they said they were tracking maybe five years ago 20-plus active developers in the Dallas market and now that number is approaching 100 for industrial. And so that tells you how -- before we've got 20 -- call it 28 people out looking for land sites and maybe in the '90s, today how hard it is to find land, but our building footprints are smaller. And so, sometimes there's parcels work for us that may not work for a developer that's building bigger boxes and things like that, which is mostly where the new supply falls is, it's the edge of town and 0.5 million square foot in a 1 million-plus square foot building. So they keep finding them. We have -- and again, we'll see where these all shake out but several hundred acres still under contract that would close by the end of the year and then value-add as well. And then a few -- probably another close to 100 I have to look further out into 2022 but I know there's some parcels that take longer than that. And what we'll try to do, obviously we'll tie it up as long as that seller will allow us to reduce that construction risk. Ideally we -- in a lot of cases we're ready to go and put it into production as quickly as we can. But the more we can minimize any of that construction risk, zoning risk, permitting things like that getting through the cities, we think that kind of risk/reward is helpful for our shareholders. So it's -- they'll tie it up and the whole process we'll go through. And then as soon as we close ideally, we'd love to break ground the next day to minimize the carry.
Michael Carroll: That's a great color.
Marshall Loeb: Yes. That's a big part of their job Brent -- sorry Carroll, you've lived that world for a long time too.
Brent Wood: Yes. No I think that's exactly it. When we say entitlement -- in some states like Texas is a little easier to migrate through the process. But in the end you're trying to make sure you've got a clear path to close meaning there's no surprises regarding zoning or improving your plans or those type things. And like I say in some markets that process is quicker like in Texas and in some other markets that process takes quite a bit more time. And so one thing that behind the scenes has become more noticeable, internally maybe not externally is just the time it takes to procure land. When you guys see it hit the supplemental schedule and you say, well you always say, it's land constrained but you're always buying sites. But I would say our lead time over the last 15 years have probably come from three to six months from tying up land and closing to 18 to 24 months and maybe the time it takes to go through the hoops or to -- if you've got a redevelopment where you're going to close a golf course or a horse race track or move someone off the size that type of thing it just takes away more time. And so that's one of the good -- it's what the public REITs have an advantage over others is that you've got boots on the ground and we've got a great team in the field that can continue to make that happen and it's allowing us to create tons of NAV through that platform.
Michael Carroll: So what's increasing that time frame? Is it just that you're being more creative trying to find sites that could support industrial and you need to entitle it that was before maybe you're buying stuff that was already entitled for industrial as there's more competition. I mean what is increasing that time line? 
Brent Wood: It's the -- it's what's available. I mean when I moved out to Houston 20 years ago I mean you literally could still pull up to the green, figure green, we say rigid day undeveloped track of land that had utilities at the street and you put out your contract, buy it, build buildings in town and the street and you went about your business. And then now, those type opportunities aren't there. So you're looking at trying to rezone a property which is trying to get -- most of the time that's down zoning, meaning it's probably a higher and better use or view higher and better than industrial, so you're trying to get it zone down to industrial. You're trying to buy a business or two and close them and replant the land into one piece. I mean there's -- now, there's just so much other leg work that goes into getting it shovel-ready as opposed to literally just pulling out and sticking your shovel in the ground. There's a lot of behind-the-scenes work that has to go into it. It's not an easy -- it's one reason that you've seen supply not be as great some people like why aren't more people doing this? Well, quite frankly, it's not -- the development side of the business is not an easy -- some of the public REITs have great teams to make it look easy but it's not an easy thing to do. It would not be easy for you and I to go out and get a great track of land in a major metropolitan area and just go to town on it. I mean there's a lot of people trying to do that.
Michael Carroll: Okay. Great. Thank you.
Marshall Loeb: Sure.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Marshall Loeb for closing remarks.
Marshall Loeb: Okay. Thanks, everyone for your time. I appreciate your interest in EastGroup. I know it's a busy earnings season. Any follow-up questions Brent and I are certainly available and hopefully, see you in person at a conference before too long. So thanks again.
Brent Wood: Thanks, everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.